Operator: Welcome to the NeoPhotonics First Quarter 2015 Conference Call. This conference is being webcast live on the NeoPhotonics event calendar webpage at www.NeoPhotonics.com. This call is the property of NeoPhotonics and any reproduction without the written consent of NeoPhotonics is prohibited. You may listen to a webcast replay of this call by visiting the event calendar page of the NeoPhotonics website. I would now like to turn the call over to Erica Mannion at Sapphire Investor Relations, Investor Relations for NeoPhotonics.
Erica Mannion: Good afternoon. Thank you for joining us to discuss NeoPhotonics operating results for the first quarter of 2015 as well as the company’s outlook for the second quarter of 2015. With me today are Tim Jenks, Chairman and CEO, and Ray Wallin, Chief Financial Officer. Tim will begin with a review of the first quarter. Ray will provide results for the first quarter and the outlook for the second quarter of 2015, and then Tim will provide closing comments before opening up the call for questions. We may make statements in this conference call which are not historical facts. These statements may be considered forward-looking statements that involve risks and uncertainties. Various factors could cause actual results to differ materially from what is set forth in such forward-looking statements, including those that have been set forth in our press release sent out today, May 7, 2015, and will also be described in detail in our Annual and Quarterly Reports on Forms 10-K and 10-Q, and our registration statement on Form S-1, all of which we have filed with the SEC. Listeners who do not have a copy of our first quarter 2015 earnings press release may obtain a copy of the press release by visiting the company’s website. Now, I will turn the call over to CEO, Tim Jenks.
Timothy Jenks: Thank you for joining us today. NeoPhotonics had a strong first quarter. We achieved record first quarter revenue of $81.4 million, which came in above our projected range of $75 million to $81 million, and grew 19% annually and 3% sequentially, outpacing the seasonal softness we traditionally experience in the first quarter which is due to annual price negotiations and the Chinese New Year. Also noteworthy, our gross margins expanded both annually and sequentially in the quarter, recording a non-GAAP gross margin of 31%, a full 9 percentage point increase over the first quarter of 2014 and an approximately 1 percentage point increase over the prior quarter. On an earnings per share basis, our news was even better. As a result of our continued growth, margin expansion and operating cost discipline, we were again profitable posting our second sequential GAAP profitable quarter with slightly positive earnings of $0.00 and non-GAAP earnings of $0.13 per diluted share. We generated $9.9 million of EBITDA and we generated $7.4 million of cash from operations during the first quarter. Early last year, I articulated two broad objectives for our business, to be a leader in 100 gigabit product solutions and to deliver sustained profitability. I believe our first quarter results demonstrate our strong execution towards these goals and our commitment to identifying new operational improvement opportunities as we go forward. NeoPhotonics is a market share leader for key products used in coherent transmission, at 100 gigabits, 200 gigabits and 400 gigabits per second and our products include Integrated Coherent Receivers and Narrow Line-width Tunable Lasers. Our broad suite of 100 gigabit products are used in long haul and metro transport and also in data center interconnect and enterprise applications. We believe our product and technology leadership in advanced hybrid photonic integration is second to none and continues to drive our leading market share position in coherent transmission. As we discussed on our last call, we further strengthened our market position within the coherent transmission market with the acquisition in January of the tunable laser products of EMCORE Corporation, including the industry’s narrowest line width tunable laser, favored for use in 100 gigabit networks and now in 200 gigabit applications and in 400 gigabit applications which are currently in development. We believe we are the market share leader for both 100 gigabit coherent receivers and 100 gigabit narrow line-width tunable lasers. Recognizing our focus on growth in our 100 gigabit and beyond products, we have realigned our product group reporting for 2015 to High Speed Products which includes products designed for 100 gigabit and beyond applications and Network Products and Solutions, which includes 40 gigabit products previously included in our High Speed product group as well as lower data rate products. Now, further demonstrating our leadership position in the market, inclusive of the acquired EMCORE products, our High Speed Products, that is products for 100 gigabit and beyond applications, represented more than half of our revenue in the first quarter, at 57% of total revenue. For High Speed 100 gigabit and beyond products, this was another record high. Our Network Products and Solutions group was approximately 43% of total revenue. To ensure NeoPhotonics is best positioned to take advantage of these technology transition cycles, we have continued to introduce new, advanced optical component products into the coherent market. During the quarter, we announced general availability of two new small-form-factor Coherent Receivers, a high power micro tunable laser, and our 100 gigabit CFP2 modules. We also introduced a new, even smaller form factor, micro-ICR and launched our new 100 gigabit CFP4-LR4 transceiver. These products provide our customers with next generation 100 gigabit optical component solutions for use in their advanced systems, as they continue to gain traction in the market place and they will form the basis for our business this year and in the future. I want to describe our new switching business, which is a very exciting area. Recently, Verizon announced that their next generation 100 gigabit metro system will deploy colorless-directionless-contentionless, or CDC, ROADMs. And while they are the first to do so, we expect the CDC architecture to become one of the primary network architectures used by leading global carriers over time. This matters. It marks the emergence of a new market segment, with a TAM which we currently estimate to grow to as much as $200 million per year when it is being deployed at scale. Specifically for NeoPhotonics, our 4x4 and cascadable 4x16 Multi-Cast Switch modules for CDC ROADMs will be important products within this segment. At the OFC trade show in March, we gave a live demonstration of an unamplified 16x16 multicast contentionless switch, which demonstrated our ability to continue to expand functionality. We continue to take the long view on the market opportunities ahead of us by investing in next generation products to serve the growing adoption of Coherent networks and the use of high speed modules on the client side, and we remain focused on our cost structure and our execution path to sustained profitability. I will now turn the call over to Ray Wallin, our Chief Financial Officer.
Raymond Wallin: Thank you, Tim, and good afternoon. We experienced record Q1 revenue, margin and profitability. Revenue for the first quarter totaled $81.4 million, representing an increase of 19% from the year ago period and up 3% from the fourth quarter of 2014. This included approximately $12 million of revenue from EMCORE products, which was better than our forecast. We will not be breaking out EMCORE revenue going forward. Overall, we generated non-GAAP earnings of $0.13 per fully diluted share, up substantially from the $0.30 non-GAAP loss in the prior year period. This was above the high end of our outlook range of a $0.09 loss to earnings of $0.02. Our Non-GAAP gross margin was strong at 31%. This was up 9 percentage points compared to the prior year period, and up approximately 1 percentage point versus the fourth quarter of 2014, coming in above our projected range of 26% to 30%. For the last three quarters we have expanded our non-GAAP gross margins. Moving on to operating expenses, total non-GAAP operating expense for the quarter was $20.2 million, representing a decrease of 12% versus the prior year period and an increase of 5% versus the December quarter. The increase from the fourth quarter of 2014 primarily reflects the acquisition and integration of the personnel and associated costs of the tunable laser product line acquired from EMCORE as of January 2, 2015. Our quarterly non-GAAP operating expense run rate continues to reflect the vigilant management and controls we established in the second half of last year to be consistent with our target model and as we drive for overall profitability improvement. For the last three quarters, we have operated at our target model of 25% for operating expenses. Non-GAAP operating income for the first quarter was $5.3 million, or 7% of revenue, up from an 11% loss in the year ago period, and above the 6% reported in the prior quarter. Interest expense during the quarter increased by $0.2 million to $0.5 million, driven by the note payable to EMCORE, which was a portion of the acquisition consideration. As will be discussed later, we paid off this note in April to reduce our interest costs this year. We recorded a tax provision of $0.4 million in the first quarter and we anticipate our annual effective tax rate to be in the 18.5% range for 2015, driven by our profits in foreign jurisdictions. Non-GAAP net income was a solid $4.2 million in the first quarter or 5% of revenue. This is compared to a loss of 14% in the prior year period, and income of 8% of revenue in the prior quarter. In the first quarter of 2015, we substantially reduced our foreign exchange exposure by eliminating certain foreign currency positions between our subsidiaries and we did not incur material foreign exchange impacts. The non-GAAP net income in the fourth quarter of 2014 included a $2.4 million foreign exchange gain. Based on a fully diluted share count of 33 million shares, these results translated to earnings of $0.13 per share. For the first quarter, EBITDA was strong at $9.9million, or 12% of revenue, as compared to an EBITDA loss of $4.2 million, or 6% of revenue in the year ago period, and EBITDA of $11.6 million, or 15% of revenue in the fourth quarter of 2014. I will close out my discussion of the first quarter income statement with a review of our GAAP results. On a GAAP basis, first quarter gross margin was 30%, up 9 percentage points versus the prior year period and up about 1 percentage point sequentially. GAAP operating expense of $23 million was 28% of revenue, down 7% versus the prior year of $24.8 million or 36% of revenue. We achieved GAAP operating income of $1 million for the first quarter, which includes the impact of approximately $1.8 million of amortization of acquisition-related intangibles, inventory and fixed asset step-up costs, $2.1 million in equity-based compensation, $0.3 million of legal settlement costs and $0.1 million of acquisition costs associated with our acquisition of the tunable laser business from EMCORE. All of these charges are excluded from our non-GAAP results. On a GAAP basis in the first quarter, we again generated positive earnings, achieving net income of $0.1 million in the quarter, up from a $12.6 million loss in the prior year period, but down from the $1.6 million net income in the prior quarter, which included the $2.4 million foreign exchange gain. Geographically, our revenue mix for the first quarter was 30% in the Americas, compared to 23% in the fourth quarter of 2014. China was 48% compared to 55%; Japan was 5% compared to 4%; and the rest of the world was 17% compared to 18%. Note that these figures are based on shipment destination, not the end use destination. We had two 10% or greater customers in the first quarter of 2015: Ciena was 23% of our total revenue compared to 16% in the prior quarter, and, Huawei Technologies was 40% of our total revenue compared to 42% in the fourth quarter. Note that these results include the EMCORE product acquisition. A full reconciliation of our GAAP to non-GAAP numbers for the quarter is included in our press release. Turning to the balance sheet, we ended the first quarter with $74.3 million in cash and cash equivalents, short-term investments and restricted cash, an increase of $10 million from December 31. During the quarter, we generated $5.2 million of free cash flow reflecting approximately $7.4 million of operating cash inflow less $2.2 million of capital expenditures. Recalling that we generated a total of $14.7 million of free cash flow during the second half of last year, the cash flow results this quarter reflect the third consecutive quarter of positive cash flow from operations and free cash flow as we focus on effective management of our working capital assets and on driving profitability improvements. Accounts receivable increased in the first quarter, ending at $85.8 million, with days sales outstanding at 95 days compared to 88 days at the end of the fourth quarter. The increase in accounts receivable was driven primarily by timing issues on end of quarter collections. During the first quarter, we collected approximately $86 million of receivables, compared to $82 million in the fourth quarter of 2014 and during early April, we collected over $16 million of receivables, which had the effect of reducing our DSOs to normal levels. Net inventory increased $7.4 million during the first quarter to $64.7 million. Our days of inventory on hand increased to 102 days in the first quarter from 92 days in the fourth quarter. The increase in inventory was primarily driven by the ramp-up in production to support second quarter 2015 customer demand, primarily for 100 G products, together with inventories from the acquisition of tunable laser products from EMCORE. Capital expenditures totaled $2.2 million in the first quarter, compared to the $1.9 million in the prior quarter. First quarter depreciation and amortization was $6.3 million, an increase from the $5.9 million in the prior quarter, driven primarily by amortization of intangible assets acquired from EMCORE. Now, I’d like to remind you that we completed the restructuring of our debt during the first quarter, and provide some additional information on our debt arrangements subsequent to our March quarter end. For a full description of these new debt arrangements, please refer to our Form 8-K reports filed January 28, March 2, and April 1, 2015. By restructuring our debt, we eliminated certain cash restrictions and significantly improved our future cash flow. As of December 31, 2014, we had $23.3 million of long-term debt which consisted of a term loan led by Comerica Bank of $17.5 million and a mortgage from LAPIS Semiconductor of $5.8 million. In a series of transactions, we restructured these to increase the Comerica borrowing capacity by approximately $14 million and we eliminated all restrictions on cash; and we replaced the $5.8 million mortgage in Japan with two long-term mortgage instruments totaling $12.6 million. These actions increased our current unrestricted cash by approximately $21 million and improved our forecasted cash flow by over $8 million for 2015. In April 2015, we repaid in cash the EMCORE note of $15.7 million including $0.2 million of accrued interest, which was a portion of the acquisition consideration. By repaying the EMCORE promissory note, the company expects to avoid additional interest expense that would have arisen in the two-year period of the note, when the interest rate was 5% per annum in the first year and 13% per annum in the second year. Turning now to our outlook for the second quarter of 2015, I want to remind everyone again that the following statements are based on current expectations as of today and include forward-looking statements. Actual results may differ materially. We do not plan to update, nor do we take on any obligation to update this outlook in the future. Taking into account seasonal ASP declines, product pruning actions discussed in previous calls and the addition of the tunable laser products acquired from EMCORE, the company’s expectations for the second quarter are: Revenue in the range of $83 million to $89 million; Non-GAAP gross margin in the range of 28% to 32%; GAAP diluted net income/loss per share in the range of a $0.01 loss to $0.08 of earnings; and non-GAAP diluted earnings per share in the range of $0.09 to $0.18, reflective of approximately $0.11 of after-tax non-GAAP adjustments and approximately 35.3 million fully diluted shares. I would like to provide more color on our outlook. For revenue, we have been pruning products which leads to lowering revenue from these products through the first half. Our outlook reflects both the decreases in pruned products and our typical ASP impacts. For gross margin, recall that our results can be impacted by a variety of factors including ASP changes, pruning of low margin products, product mix, volume and manufacturing utilization, and ongoing manufacturing process improvements, all of which are reflected in our outlook. During the last several quarters, we introduced our long-term operating model, which I want to reiterate today. We believe that NeoPhotonics can ultimately deliver on an annualized basis non-GAAP gross margin of 35%, R&D expenses in the 13% to 14% range, SG&A expenses in the 11% to 12% range and non-GAAP operating margin of 10%. We anticipate making steady progress towards these goals in 2015. I’ll now turn the call back to Tim for some wrap-up comments.
Timothy Jenks: Thank you, Ray. We have made significant progress on improved profitability, solid cash flow generation and operating expense reduction. And we will continue to focus on these points going forward. I would like to provide some specific updates related to our recent SEC filings. We had an obligation to register 4.9 million shares by May 2014 that were sold in a private placement transaction in 2012. However, we were not on file with the SEC in May 2014.Therefore, we agreed last December with the holder to register these shares by April 15, 2015, as previously disclosed. On April 6, we fulfilled this obligation as we filed a Form S-1 for this purpose. There has been no sale of shares associated with this registration. Relatedly, we have been developing a manufacturing presence in Russia. We have made considerable progress, with well over one third of our total investment already completed. As planned with our partner, the balance of our investment is expected to be done over approximately five years. We are optimistic for 2015. We believe our 100 gigabit business will continue to accelerate as we see metro launches and switching growth, such as Verizon’s launch of CDC ROADMs including MCS switching, plus additional strength from Data Center Interconnection deployments of 100 gigabit coherent systems. Additionally, 100 gigabit deployments remain strong in China as well, and we are adding capacity where needed to support demand. Further, our access business continues to be stronger than expected. While some of this growth is offset by our product pruning initiatives which will be largely complete by the end of the second quarter, at this time and including our EMCORE product acquisition, we believe there are a number of potential accelerators to our business and we are optimistic that our 2015 revenue can approach 10% growth over 2014. We are focused on sustained profitability and we will continue to work toward this goal, as well as toward greater alignment with our target operating model. This concludes our formal comments and now I would like to ask the operator to open up the line for questions. Robert?
Operator: [Operator Instructions] And we will take our first question from Richard Shannon with Craig-Hallum Capital.
Richard Shannon: I guess my first question is regarding your first quarter, you had a very nice finish for the quarter here. You guided only about three and a half weeks before the end of the quarter and you talked about some upside coming 100 gig business, I think you mentioned, from EMCORE, is that just a result of getting to know their customer base a little better or was there some specific new piece of business that popped up at the end of the quarter?
Timothy Jenks: The overall market in 100 gigabit area has been pretty strong. And so we saw strong build of backlog and it was for all of our 100 gig suite as well as for the EMCORE products. So not exclusively to EMCORE, but we do see strength in the micro-ITLA product. We’re in the process of increasing capacity there. And in a lot of cases, I think you know Richard, we have products which ship at end of quarter that are based in better managing inventory toward a VMI location. So there is some variability at the end of the quarter. But generally speaking, it was strong throughout.
Richard Shannon: And following up on the commentary regarding your gross margins, which were very nice for the first quarter, is that due to mix or more cost reductions, or can you characterize the improvement versus original guidance?
Raymond Wallin: I would say that from the middle of last year, we talked on a couple of conference calls about some structural changes that we’re doing. And so, those have largely been fully realized. And I would say that with respect to improved margins, certainly mix matters, but in this particular case, I would talk about mix as an engineered mix change. We’ve driven a lot of cost reduction, we’ve driven volume increases through our capacity adds, we’ve implemented structural changes and then the product pruning which we talked about in our script which is in the range of $20 million of low gross margin products that will be completed this quarter, all of those things have contributed to the margin expansion that you’re seeing.
Richard Shannon: And then just following up on that question, your midpoint of guidance for the second quarter in gross margin is a little bit below what you reported in the first, it’s an atypical cadence. Is that just being conservative or you’re seeing some sort of mix shift here that’s driving that? I think you mentioned something about pricing in your prepared remarks, but just want to clarify what’s going on there.
Timothy Jenks: A couple of things on second quarter. First of all, we generally do expect to see some level of improvement in the second quarter versus the first quarter, subject to differences of one-time events or yield or variances, but this year one of the one-time events in the first quarter was the addition of the EMCORE product line. Of course, we won’t be adding an acquired product line in the second quarter. We are seeing some minor ASP adjustments that flow through in the second quarter, just timing issues, and then we also have, as I talked about, we have stronger than expected access business which tends to be a bit lower margin and tends to be a little bit lower in the first quarter than during the summer quarters, i.e., our calendar second and third quarters. So all of those are factored into our second quarter margin guidance.
Richard Shannon: Given the better than expected access here in the second quarter, I know that’s somewhat lumpy and difficult to predict, but any reason why we shouldn’t expect you to be able to reach your 35% pro forma gross margin number this year, which you said your third quarter is your best quarter. Is that something we should expect or is that more of a goal still?
Raymond Wallin: Richard, that’s our target model, 35% goal for the company. What we’re positioning the company for is to be able to achieve that on a sustained basis than kind of an annual average as we move into 2016. So as you recall, we had our interim model, our target model, interim model was mid-year 2015, target model was – and that was a 30%, we’re at the interim model today. And then achieving our target model at the end of 2015, into 2016. So this is going to keep moving up our sleeves, blocking and tackling, do what’s necessary to get our margins up to the target model here over the next six months or so.
Richard Shannon: One last question from me and I’ll jump out of line. Lot of discussion out there from your peers reporting in the last couple of weeks regarding the metro opportunity, I want to get your latest sense on when do you expect to see the timing of that, how well you’re positioned there and then specifically, Tim, regarding your comments on the MCS or Multi-Cast Switch, want to get a sense of how we should think about that in the context of the metro builds here?
Timothy Jenks: Let me deal with those in reverse order. So the CDC ROADM deployment, that is really a 2016 ramp, where everything is in small quantity today, but it will make difference for 2016. So you shouldn’t expect that to be materially different for the next couple of quarters. With respect to the metro, I’d actually like to expand that to two topics: one is metro and then other is data center interconnect, because our network equipment manufacturing customers are deploying some forms of what could be described as metro-like systems now and so that is increasing volumes. But generally speaking, the metro deployments per se, we would say certainly by the fourth quarter and all of 2016, it will be a real strong contributor. It’s a contributor now, but in smaller numbers, but it’s ramping. But those systems do affect metro and data center interconnect.
Operator: [Operator Instructions] We will go next to Dave Kang with B. Riley.
Dave Kang: First question is on the product revenue, $25 million, so can you give some numbers like how much has been pruned first quarter and I guess the rest will be pruned off second quarter, so third quarter will be normalized run rate?
Raymond Wallin: What we had previously said was that pretty much completed by the end of the second quarter and we’re probably at the 80% level right now. So it’s a small amount to go, probably less than $5 million. We said that $5 million would be the revenue for these products in first half of 2015 and we’re right on that plan. So a lot of it’s done and some tail for the remaining part of this quarter.
Dave Kang: As far as breaking out revenue, so you’re not breaking out access revenue anymore?
Raymond Wallin: No, we’re just breaking – actually, just for comparison as we’ve done it in the past, our speed and agility would have been about 73% and our access would have been 20%, but the way we’re grouping it for 2015 going forward is the products that we call high-speed products are 100 gigabit and above and we noted that there is one change and that does not include 40 gigabit products now. We put 40 gigabits with all other, which is essentially what was access, other telecom and the lower-speed portion of speed and agility. So again, 57% for high-speed products, those are 100 gigabit and beyond; 43% for what we call network products and solutions, that will be products that are at data rates below 100 gigabits.
Dave Kang: And then I just wanted to clarify, did you say that this year you’re expecting 10% revenue growth. Did I hear that right?
Raymond Wallin: We think that through the course of the year and inclusive of some of the accelerators that we’re experiencing, also including EMCORE and including the reductions from the pruning, we think we can be in the high single digits and approach 10%, yes.
Dave Kang: And then also another clarification, when you talked about MCS, you alluded to about TAM of $200 million, is that the TAM for MCS or I just wanted to – the definition of $200 million right there?
Raymond Wallin: That would be – what we view, the TAM can be when we’re deploying at full scale. It’s not the near term, but it’s the annual at full scale, yes. The point is, as TAM, we’re looking at the deployment of Multi-Cast Switches as system portion, these are actually shipped as blade, they are not just shipped as component modules. So it’s a subsystem product, essentially it’s a switch module that’s installed in a blade and that total market can be in the range of $200 million a year.
Dave Kang: And as far as JDS, who are other notable competitors?
Timothy Jenks: I think JDS certainly is one, there may be others that are smaller
Dave Kang: So it’s really you and JDS at this point?
Timothy Jenks: I think we would factor in NAL in Japan as well.
Dave Kang: But then, I guess for like a Verizon opportunity, NAL wouldn’t be in it, would they be?
Timothy Jenks: I think they will sell their products to any network manufacturer in the world.
Dave Kang: And then lastly just on China, I think last quarter you talked about some OEMs getting together for network sharing. What’s the latest on that?
Timothy Jenks: There are some interesting things going on that’s probably more in the wireless space. We’ve seen, for example, some announcements in China where you’ve got urban real estate for tower deployment getting a bit crowd as it goes to smaller cell coverage and you’ve got three major carriers all trying to do that. So there are plans that are intended to take the wireless tower business and combine them into a new combined company. So that has impact on how people are looking on the wireless business in China. That would be part of the network sharing I think that you are referring to.
Dave Kang: And one last question actually for Ray. So OpEx, you kind of made a sound like OpEx will be going down in the second quarter from first quarter. Is that right?
Raymond Wallin: Actually I think it’s going up in the second quarter. So depending on how you want to look at it, but the non-GAAP operating expenses in the first quarter were $20.2 million and I think the midpoint of our range for the second quarter would be $21 million plus, slightly up.
Operator: And there are no other questions from the phone at this time. I will turn the call back to Tim Jenks for closing remarks.
Timothy Jenks: Thank you, Robert. In closing, I would like to thank everyone for taking time today to join our call and I want to thank our employees for their dedication in helping us achieve our goals. We look forward to updating you on our progress on our next quarterly call. Thank you very much.
Operator: And this does conclude today’s conference call. Thank you again for your participation and have a wonderful day.